Executive: Francis McGuire - President, Chief Executive Officer Denis Larocque - Chief Financial Officer
Analyst: Jacques Wortman - GMP Securities David Talbot - Dundee Securities Michael Mills - Beacon Securities Barry Allan - Research Capital
Operator: Welcome to the Major Drilling Group International first quarter results conference call. (Operator Instructions) I will now turn the conference over to Francis McGuire, President and Chief Executive Officer.
Francis McGuire: With me is Denis Larocque, our Chief Financial Officer. You should have all received a copy of our results which were released earlier this morning. If not please contact Chantal Melanson at her officer or visit our website at www.majordrilling.com.  Before we get started, I would like to caution you as usual that during the course of this conference call we will make forward-looking statements regarding future events or future financial performance of the company. Such statements are forward-looking in nature and actual events or results made differ materially. We disclaim any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Denis will provide you with a more detailed review of our financial results, before I come back and talk about the outlook and our new dividend policy, but briefly the company continues to show good progress in delivering strong top and bottom line performance. We posted the highest quarterly revenues in our history with revenues of $178.2 million up 24.3% from the $143.4 million recorded the same quarter last year.  Gross margin percentage for the quarter was 35.5% up from 33.2% for the corresponding period last year. The company posted the highest quarterly earnings in its history with earnings from continuing operations for the quarter increasing by over 40% to $26.3 million or at $1.11 per share.  Overall margins showed very good improvement year-over-year despite continuing pressure on labor costs and African margins lagging behind other regions. Investments in training crucial to our continuing growth, continued to weigh on our margin growth as well. Availability of crews, especially in Canada, U.S. and Australia remains our number one challenge. With that I will come back and discuss the outlook after Denis provides the little bit more details on the quarter.
Denis Larocque : As Francis noted total revenue for the quarter was a $178.2 million, up $34.8 million from the same quarter last year. Looking at the revenues by region, revenue from Canada, U.S. drilling operation was up 12.8% to $55.6 million for the quarter as compared to the same period last year.  Additional equipment and improved pricing contributed to this growth in that region. In South and Central America, revenue for the quarter was $55.3 million up 30.1% from the prior year quarter. Revenue growth was driven primarily by strong demand in Mexico and Chile including the Harris acquisition, partially offset by revenue reduction in Venezuela and Ecuador, which were impacted by political decisions. Australian, Asian and African drilling operations reported revenue of $67.3 million, up some 30.4% from the same period last year. Australia, Mongolia and Africa accounted for most of the growth in this region. In terms of rig count, we took delivery of 26 new rigs this quarter, 18 of which were specialized, but we also retired 13 conventional or underground rigs from our fleet that had limited contribution in the last year. The total rig count now stands at 547 and breaks down as follows; specialized 186 with 84% utilization, conventional 281 with 60% utilization and underground 80 with 60% utilization, for a total of again 547 rigs with 68% utilization.  We had three main factors that affected our utilization this quarter versus our fourth quarter; Ecuador and Venezuela political situation, the African operation and seasonality in Chile, Argentina. In total, we had 39 rigs that worked in Q4 that didn’t in Q1. Of those 39, 12 were in Ecuador or Venezuela where activity was shutdown this quarter due to political decisions. Most of our rigs in those regions had worked for the majority of the fourth quarter. In Africa we parked 12 rigs in this quarter that were not being used effectively. Our approach there is to maximize retain per rig working instead of maximizing utilization. We want to maximize utilization of crews and our infrastructure and we will build up utilization of rigs as the situation improves. Finally we had 12 rigs idle as we moved into winter season in Chile, Argentina. We have the usual seasonal pullback as we transition from our altitude jobs to more conventional jobs while we wait for the next summer season. The overall gross margin percentage for the quarter was 35.5%, up from 33.2% from the same period last year. Gross margin percentages improved year-over-year in all regions due to generally improved pricing, better equipment and improved overall productivity. In Africa, margins were still impacted by operational issues, but improved from the fourth quarter of 2008. The company has made several management and operational changes in the region and expects results to improve in the coming quarters. G&A were $13.4 million for the quarter, compared to $10 million for the prior year period. The increase is primarily due to increased staffing levels and infrastructure costs to accommodate growth, but the company added significant resources in safety and training, particularly in the second half of last year. In addition, the company started a new R&D program with the goal of finding new ways to enhance productivity and safety. Other expenses for the quarter increased $3.8 million, up from $3.5 million in the prior year quarter, due primarily to higher incentive compensation expenses given the company’s improved profitability in the current year and write-off of disposed assets. Earnings from continuing operation for the quarter were $26.3 million or $1.11 per share compared to $18.8 million or $0.80 per share in the prior year period. With that quick overview, I’ll turn the presentation back to Francis to discuss the outlook.
Francis McGuire: The fundamental long-term drivers of our business remain unchanged. Worldwide supply of most metals is expected to tighten in the medium to long-term due to the lack of significant discoveries. Continued growth throughout Asia, Eastern Europe and Africa and the reconstruction efforts after the earthquakes in China which is expected to cross $147 billion, should continue to drive demand. It takes many years to bring new capacity into production and a great deal of drilling is required to do so. In the short-term, we expect to see some changes in the pattern of drilling demand. Senior mining houses, which represent some 70% of our business, are in the process of expanding their drilling programs. We also expect them to increase their investments in joint ventures with junior mining companies as we go forward.  Over the last month, we have seen a small number of junior mining companies reduce their drilling programs due to lack of funding, but these have been limited to date. Gold, copper and uranium customers are expected to continue to expand their drilling programs as we go forward. These commodities combined with our energy drilling currently account for 80% of our revenue.  Zinc, and to a lesser extent nickel projects are expected to be less active, at least in the short-term due to the current economic conditions relating to the metals. These changes in demand patterns may require some short term adjustments in our operations over the coming months as we reposition our gold fleet, but the fundamental demand outlook remains very strong. Despite some potential short-term volatility, the company continues to invest in its capital expenditures. This quarter we spent $19 million to ensure continued growth. Through these investments we’ve added 26 rigs during the quarter. We maintain our capital expenditure plans, which should increase our fleet by a net 60 drills this year. During the quarter, we retired 13 inefficient rigs that had extremely low utilization factors over the last several years. As announced on August 1, 2008, we are pleased to welcome Forage Benoit and its employees to the Major Drilling group. This acquisition provides us with additional assets, experienced drillers and existing contracts in Québec. Through this purchase, we acquired 19 rigs, the majority of which have deep hole capacity and are fitted out with rod handlers which fits our strategic focus on specialized drilling.  We anticipate that the Benoit operations will produce additional annual revenues of approximately $26 million. The company continues to seek acquisitions of this nature, which will either complement our specialized drilling strategy or expand our geographic footprint. We are confident in the long-term outlook for drilling, especially specialized drilling and confident of the company’s ability to generate strong future cash flows.  Cash flows from continuing operations before changes in working capital in the quarter continued to strengthen, increasing by 39% to $36.5 million compared to $26.2 million recorded in the prior year quarter. We expect future cash flows to be more than sufficient to sustain our growth plans including both our internal CapEx plans and our acquisition prospects and therefore we believe that it is appropriate to institute a semi-annual dividend. The first dividend of $0.20 per common share will be paid on October 31, 2008 to shareholders of record as of October 10, 2008 and is designated as an eligible dividend for Canadian tax purposes. That concludes our formal remarks and we will be very pleased to take questions.
Operator: (Operator Instructions) Your first question comes from Jacques Wortman - GMP Securities.
Jacques Wortman – GMP Securities: Very good strong quarter there; I just wanted to ask Denis, if you could just give us a real quick sort of snapshot. If you exclude the pricing impact, could you provide just a quick review of the incremental increases in revenue in fiscal ’09 from fiscal ’08 with any revised guidance on revenue contribution from the new rigs and from Benoit? Can you just give us a quick summary there?
Denis Larocque: As you know we don’t provide quantitative guidance, so I’m not going to go into that, but were you are looking…
Jacques Wortman – GMP Securities: 
 :
Francis McGuire: I think Jacq we maintain that and incremental rigs should be able to deliver about $1.2 million a year on average, that depends on the rigs of course, but that’s a good average to use, you won’t be very far along there.  Again I think that we said last year that our pricing minus productivity has delivered something in the order of 10% growth. We believe that’s the kind of things we’ll see, but there’ll be added emphasis as we go forward on our productivity gains. If you remember on that we were really loosing quite a bit of productivity, but a good bulk of our crews that we’ve been training are really into their second year of formation and we are now starting to see some of our productivity pick up. So, we’ll see as we go forward more contribution from productivity than from price, but those two are combined together.
Jacques Wortman – GMP Securities: Combined together to give you 10%?
Francis McGuire: Yes, that’s the kind of order that we’ve spoken about and we don’t see any change in that.
Operator: Your next question comes from David Talbot - Dundee Securities. 
David Talbot - Dundee Securities: Yes, just in case I hadn’t mentioned before, congratulations on the Benoit purchase. I’ve used them before and quite frankly was quite happy with them. So, just a question on you’re repositioning of the drill fleet. I guess you’ve mentioned Ecuador and Venezuela; do you have any plans to move rigs out of these areas and if so, what sort of timing do you foresee here?
Francis McGuire: Yes, we do have plans. We are in the final stages of finalizing contracts and so we would expect that over the Christmas period we’ll be repositioning drills, so we should be in a position after Christmas to take advantage of that.
David Talbot - Dundee Securities: Okay, why such a long down time period for that…
Francis McGuire:
 :
Denis Larocque:  And every time we put a rig on, we find that it takes double the time that we thought it would just because of all the logistics and everything and so on.
David Talbot - Dundee Securities: Yes, it always does. Okay as far as the junior starting to cut back as the running out of cash, have you seen this actually impacting your overall demand at this point; are you able to quickly find other clients or other customers to pickup the slack here and those new customers, are you able to sort of instill that 10% growth and contract price through them?
Francis McGuire: Yes, we are able to replace all those. The issue is that it’s not always in the same location and so we do have to look at some moving things along. We’re finding pricing again is still a good situation, maybe not as strong certainly as last year, but then again our base prices have really come up quite a bit and we’re quite happy with.  Certainly, we don’t have all the lagging contracts if I can put it that way. We’ve pretty much come up to an industry standard, so again a lot of our gains will be made -- there will be a much more emphasis on productivity than on actual price increases, but we do find that as far as we can justify the price increases in terms of the cost that we have to bear, particularly the increased cost of labor that our customers are quite understanding. 
David Talbot - Dundee Securities: Okay. Your CapEx program is this slowing down a little bit or are we talking 60 rigs over this fiscal year, which is three quarters or is that over the next 12 months?
Francis McGuire: It continues to be in our fiscal year April-to-April, that was our original announcement and we have not changed that, so it’s a reconfirmation of our plans. 
Denis Larocque: Yes, that’s 60 net rigs by the way. When we say that in other words it’s net of replacements and so we’ve said in the past we were looking at buying 80 rigs and having 20 replacements. Now we might retire more rigs that are not being utilized, that are not up to par, but certainly we’re on track to buy those 80 rigs.
Francis McGuire: For instance some of our older rigs that maybe in one location, we just don’t believe that’s worth moving them; we’ll leave them there and would like to have the new rigs. So, the new rigs are clearly more productive. 
David Talbot - Dundee Securities: Just one final question; I guess it’s sort of a clarification on your dividend. It looks like the first payment is $0.20, so does that make your annual dividend payment $0.40?
Denis Larocque: That’s correct.
Operator: Your next question comes from Michael Mills - Beacon Securities. 
Michael Mills - Beacon Securities: I just want to clarify in terms of when you’re talking about potential adjustments to operations over the coming months, is this primarily repositioning of rig assets?
Francis McGuire: Exactly and moving between some regions, we see some regions with very strong demand that we haven’t been able to meet and then particularly in areas where there are juniors, we have seen a lot of -- not a lot, but a number of programs go down from two drill down to one as they stretch things out. That freezes up in areas where there are a lot of junior activity, freezes up some rigs that we then are intending to move to areas where essentially the bigger customers have had demand, so we haven’t been able to respond to and that will be able to as we go forward.
Michael Mills - Beacon Securities: So, there’s still strong demand overall; you’re just going to be repositioning rigs and there is going to be some downtime as you demobilize the rigs?
Francis McGuire: Yes, there is some repositioning in the market, that’s clear. We’re really seeing a very strong new and increased demand from the uranium producers. The gold producers tend to be strong as well continuing; copper is strong as well, but we are clearly seeing the zinc projects declining, so that changes some of the market we are seeing.  Nickel, to a lesser extent, but we are seeing a little bit of less activity there throughout, so all those changes means that we are in a bit of transition period. The demand though coming from gold and copper, but particularly uranium is absolutely picking up what we seen in the decline of zinc, so there is a great deal of movement in the market, but overall demand pattern stay very strong.
Michael Mills - Beacon Securities: Okay and just in terms of the dividend, I’m wondering, how the board came about the $0.20 semi-annual amount. Is that based on any kind of longer-term, sustainable payout ratio or what we are looking at there?
Francis McGuire: Yes, this is the beginning of a policy. We want to make sure that in any situation and we are talking now that we are committed to it for the next 20 years that no matter what happens we will be able to sustain it and indeed I think our plans would be on a regular basis to be able to augment it. So, I think we will be reviewing it from time-to-time to see if indeed we can do more. I emphasis that in terms of our cash flow generation, which continues to be strong we believe again because the long-term outlook and the need for drilling over the next 15 years, especially specialized drilling. We believe very strongly that this is going to be a bigger and bigger part of the market as we go forward, that we will sustain cash flows or generate cash flows in excess of really what we are able to expand on internal growth.  We are still constrained about how fast we can build the labor force, that’s what pulls back the amount of the money we would invest in new drills. We are at $80 million this year in terms of plans. It’s difficult for us to grow our labor force much faster than that. The acquisition that we looked at, Benoit would be a large typical acquisition that we would hope to accomplish as we go forward, at some $20 million. We can do that and still generate excess cash and we think it’s appropriate to redistribute that to our shareholders.
Michael Mills - Beacon Securities: And maybe just finally, a comment on the gross margins; obviously nice gains in this quarter; how is the outlook for margins especially considering labor remains tight and maybe the pricing power isn’t what it was a year ago?
Francis McGuire: Well, we think we’re now at a stage -- we’ve gone through several evolutions if you would in our operations. We are now really starting to see some pickup in productivity, which is very gratifying.  Very clearly with a lot of the green crews, we know and our customers know that the green crews have not and can’t be expected to perform quite as well as our seasoned crews, but a lot of these drillers are now getting their two and three years experience and you’re seeing their meter rates go up and so we think that makes a tremendous contribution. One more meter on a shift is a tremendous contribution, because all of your other costs are pretty well fixed and so we believe at this point that that’s going to be driving some potential for us to continue to improve our performance.
Operator: Your next question comes from Barry Allan - Research Capital.
Barry Allan - Research Capital: Just to expand on a little bit and you were quite complete in your description of where your drill rigs are employed and what your utilization rates are, I was a little surprised to see you a 68% utilization rate and I was just kind of wondering if you could expand upon the circumstances in Africa and whether you’ll be able to get all the 12 of those rigs reemployed and the same with Chile and Argentina?
Francis McGuire: Okay, let me start with Africa. I think our plans are certainly in the short-term, not to put those back in. In Africa, Namibia and Tanzania are now performing the way we would expect them to and just recently getting there, so we are very happy what’s happening there.  In some other parts of Africa, we still have some work to do and I think our strategy is let’s not over extent the number of rigs; we’re really trying to get the productivity up; let’s concentrate on fewer and when we get that done, then we’ll bring the other ones back in. So, we’re really not planning over the next three, four months for instance to bring those back into production and we’ll see how that goes. In terms of the ones in Venezuela and Ecuador there’ll be some movement there. I think in Ecuador, we are still hopeful that the government will come out with a regime that’s acceptable to the mining community. There is a draft that’s just come out very recently that seems to be encouraging and certainly Kinross believes that it’s encouraging. If that happens, we believe that there will be a tremendous amount of activity there.  We also believe that in areas like Mongolia as they hopefully as well come to an agreement and create some search to it, that you will see there a significant upward swing. So, with the Ecuador on, we’re waiting to see how the political situation develops. In some of the other areas though we are redeploying over the short-termed as contracts confirming themselves we’ll be opening operations in new areas.
Denis Larocque: Okay and Barry on Chile, Argentina the rigs, this was temporary; if you get them on track -- we always get that shift between fourth and first quarter because there is a movement between jobs. The jobs are now pursued to shutdown and the rigs there on their way to other jobs.
Barry Allan - Research Capital: Yes, I see and that would be going into effectively what would be their spring, so you would start employing those over the course of the next probably quarter? 
Francis McGuire: They are all employed now.
Operator: Mr. McGuire, there are no further questions at this time.
Francis McGuire: Well thank you very much everybody. Denis and I of course are available to answer any questions if you have any and thank you very much for your attention. We appreciate you being on the call and by the way we are having our AGM today in Toronto at the CFX in the gallery. If you would care to join us we’d love to see you at 10 o’clock.
Denis Larocque: Thank you very much.